Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Colabor's Third Quarter 2018 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session open to analysts only. Instructions will be provided at that time for you to queue up the questions. [Operator Instructions] Before turning the meeting over to management, please be advised that this conference call will contain statements that are forward-looking and subject to a number of risks and uncertainties that could cause actual results to differ materially from those anticipated. I would like to remind everyone that this conference call is being recorded today, October 18, 2018. I will now turn the conference over to Lionel Ettedgui, President and CEO. Please go ahead, sir.
Lionel Ettedgui: Yes. Good morning everyone, and welcome to Colabor Group's 2018 third quarter conference call. This is Lionel Ettedgui, President and Chief Executive Officer. Earlier this morning, we issued our third quarter earnings press release. It can be found along with our financial statement and MD&A on our Web site and on SEDAR. Please note that the presentation is also available on our Web site at www.colabor.com under the Investor/Events and Presentations section. During the quarter, and most recently, we made structuring changes to our executive teams. First, let me introduce Mario Brin, who was appointed as Interim Senior Vice President and Chief Financial Officer of Colabor. Mario joined the company on September 10. He has a successful track record and very significant experience having held various Senior Executive position at Garda World, Naya Waters, and CGI Group. John Hemeon joined us as Senior Vice President and General Manager in Ontario. John has an extensive experience in the food service industry having held Senior Executive positions at Tim Hortons and Sysco. Mathieu Dumulong, who was previously General Manager of our Wholesale Division in Boucherville, was appointed Vice President of Sales of Colabor. Mathieu has a significant experience in the food service industry, including as a Sales Executive at Morris and Cole's [ph]. Élisabeth Tremblay was appointed Vice President of Human Resources and Communications. She has over 20 years of experience in human resources management, mainly at Saputo and Grupo Bimbo. And finally, Daniel Valiquette was appointed Vice President of Central Procurement and Private Label. Daniel has over 30 years of procurement experience and held various Senior Executive positions at Alimentation Couche-Tard. Despite some remaining challenges in our Broadline Distribution activities in Ontario, we have addressed some challenges, and are still working on improving our operations. We have a new General Manager in place, a dedicated team, and we continue to work on the initiative that matter. Our Broadline Distribution activities in Quebec continue to perform well, resulting from our focus on the hotel, restaurant, and institutional market. Our wholesale business remained strong with higher quality sales. In the quarter, despite a consolidated loss of sales volume, we were able to keep the same level of EBITDA. Improved management of our working capital and strong operational performance allowed us to grow our cash flow from operation and reduce our level of debt. Our team is highly motivated and committed to change the trend of recent years. I will now turn the call over to Mario for a review of our financial result. We will then open the call for questions. Mario?
Mario Brin: Thank you, Lionel, and good morning everyone. It is a pleasure to be here today to discuss Colabor's third quarter financial results. Colabor Group's consolidated sales for the third quarter ended September 8, 2018, stood at $291 million compared to $319 million in the equivalent period of 2017. In the Distribution segment, sales decreased by 9.2% to $222 million, mostly from the loss of the supply agreement for Popeyes Louisiana Kitchen and Montana's BBQ & Bar restaurant chain in our Ontario activities. This was mitigated by an improvement of sale from Broadline Distribution activity in Quebec. Sales in the wholesale segment stood at $68.8 million, down 7.6%, resulting primarily from the non-renewable of non-profitable contracts. Even with the lower volume of sale, adjusted EBITDA remained flat at $7.6 million, compared to $7.7 million in the third quarter of 2017. This results from our improving gross margin as a percentage of sales, a lower operating expense, which were down by $1.5 million, including the reversal of provision amounting to $700,000. Colabor concluded the third quarter of 2018 with net earnings of $1.2 million or $0.01 per share compared to a net loss of $18.8 million or $0.18 per share in the equivalent quarter of 2017. The 8.9% loss on sales volume weighted on earnings; however, this was mitigated by a pre-tax reduction of $14.1 million in asset impairment losses, a pre-tax reduction of $8.2 million in cost not related to current operation, continued gross margin improvement as a percentage of sales, and a reduction of operating expenses as explained above. Our cash flow from operating activities stood at $12 million in the third quarter of 2018, up from $8.9 million in the equivalent quarter of 2017. This is mainly explained by an improving working capital situation resulting from better management of account receivable and inventories to reflect the level of sales. On September 4, 2018, we announced the extension of the term of our credit facility for an additional period of one year until October 13, 2020, and the extension of the term of our subordinated loan with the Fonds de solidarité FTQ for an additional six-month period until April 13, 2021. Both extensions were provided without any changes to other underlying conditions. We also reduced our debt level. As of September 8, 2018, the company total debt amounted to $115.4 million, down from $122.4 million in the second quarter of 2018, and from $118.9 million from the equivalent period of last year. Our total debt to trailing adjusted EBITDA ratio now stands at 5.9 times, which is down sequentially from the second quarter of 2018 when our leverage ratio reached 6.2 times; this compare with a ratio of 4.5 times at the end of the third quarter of 2017. This concludes my review of our financial results. Jessa, I would like to open the call for question now.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Derek Lessard from TD Securities. Please go ahead.
Derek Lessard: Good morning, gentlemen. Lionel, you have been in the chair now for about six months, I was just wondering if you are now in a better position to talk about where you envision Colabor as a sales organization where it could be or should be?
Lionel Ettedgui: Well, for sure, I will say that we decided to take the right decision regarding our activity by letting go non-profitable contract regarding sales. We are looking to stabilize the activity in Ontario region, and now it's achieved regarding relationship we have with our customers. So, we are definitely in better shape now to focus on growing as a business. Moreover, we have -- I have built a whole new team to support the turnaround of the activity and to make sure that we're ready to grow the business. So, we are still working now on finalizing an action plan and a vision for the whole [ph] company.
Derek Lessard: Okay. Thanks for that. That's helpful, and clearly I mean that was my next question. You have made some moves to improve your management bench strength. I was just wondering if maybe could you talk about some of the moves you have made to fill those critical spots, and maybe you know, are there still some areas that you feel needs more attention?
Lionel Ettedgui: Yes, sure. So, we -- at the end of the day, we are a very basic business, okay, and my whole point is to go back to basic and to be close to operation. So, I wanted highly professional individuals with huge experience in different important department of the company just like operating finance, just like sales, but sales for both sides, for Broadline and also wholesale. Procurement was critical. So I think that with fresh new people we can change the future of Colabor and improve the way we are doing thing, just bring back some discipline, some rigor, some vision, and be able to achieve what we put on budget, which is quite basic to me.
Derek Lessard: Okay. Let me just touch on the -- and add some color around the gross margin improvements. It looks like you had some nice expansion in both wholesale and distribution segments. And maybe as a follow-up to that, could you talk about the -- perhaps the sustainability that you see there?
Lionel Ettedgui: Yes, sure. So, as I said previously, honestly, it's mainly because of good decision taken. Just I know that it seems to be simple, but on the day-to-day basis it's not that simple, but just instilling discipline, rigor and focus is mainly -- is the reason why we managed to improve the gross margin. It's not easy to decide one day to let go some sales even if it's not very profitable contract because you are also focusing on market share, but it's a hard decision to take, and at the end of the day, you are managing the company also by the bottom line. So that's the first thing. In our activity, you know we are delivering our customers many times per week. So, you are as strong as a good quality service you have done as a previous delivery. So instilling discipline is just not -- it's a core value for us, for the way we have to work, and it's on a daily basis which is not an easy one. It's the same for rigor and focus. So, mostly by implementing this in culture of the company, we can improve our efficiency on warehousing, on shipping, on distribution, so -- which are the key things for us regarding the driven keys for profitability.
Derek Lessard: Okay. So I guess it's fair to say in the six months or seven months that you've been there, these were -- I guess these -- the discipline and the rigor and the focus is something that you viewed wasn't part of the organization prior?
Lionel Ettedgui: No, not at all; it is just that it's a huge challenge for all organizations to be fair. Okay?
Derek Lessard: Right.
Lionel Ettedgui: It's a very competitive market. It's a very demanding industry. You know on average, you are going to -- you can ship up to from 60,000 to 80,000 cases per day. It's really tough, okay? So my point is it's -- mostly it's -- if I want to make a turnaround, you need to think as simple as possible, and just by focusing on very simple things just like discipline, rigor, and focus on several key initiatives, you just make your people focusing day-by-day on those things and you are going to collect results, and that's what happening for us.
Derek Lessard: Okay. And I guess along the same lines, is it fair to say -- and I think you had mentioned it or answered it in the previous question, but is the shorter term strategy to emphasis profitability over sales volumes, and I guess what was your view -- like what in your view constitutes profitable volume growth whether by product category or private label or by end customer?
Lionel Ettedgui: Honestly, we are competitors. So, we want to fight for both sales and profitability, but to be fair, it would be only for quality sales. We are not looking to buy market share or this kind of stuff. So, I think that we want to manage a healthy business, and that's what we are focusing at the moment.
Derek Lessard: Okay. Maybe switching gears, and welcome aboard Mario, congratulations.
Mario Brin: Thank you, Derek.
Derek Lessard: Operating expenses were down. I calculated 2.1, but in your prepared remarks, you said 1.5, but you called out the 700,000 due to a reversal in provisions. So wondering where the other majority of the lower costs were coming from?
Mario Brin: As you were mentioning, there is a portion related to a settlement of the CSSB [ph] and the equivalent in Ontario, and to be honest, it's part of our business because we need to properly manage that. So from that perspective, every quarter it's part of our business. And remaining the improvement of the OpEx it's really related to what Lionel was describing in a sense that we were able to have a better cost having better rigor, better efficiency, and I would say that it's almost everywhere.
Derek Lessard: Okay. And in the MD&A, you called out that you guys are in a good position now to serve independent restaurants to ensure a better penetration of private label, maybe can could you just talk about or add some color around what you mean by that?
Lionel Ettedgui: Yes. Well, I guess that's -- the main focus of Colabor has always been to focus on independent restaurants, because it's nicest part of the business, let's say, or let's say it's the most profitable part of the business, and you're not depending of several players, but you're serving a large number of customers. And that division and the objective of Colabor to serve the most part of independent restaurants and support them to grow their own business. If they have a healthy business, it will be very positive for Colabor because we have quite a significant market share, a specifically in Quebec on independent restaurants. Now, when you were referring to private label, it is part of the food service industry for Colabor, and also far competitors, you're serving your customers with national brand, and you also offer them some alternative regarding the privative label. So regarding the penetration of private label, we're not a private label oriented company. We want to -- we have an amazing partnership with vendors or national brands, and we just want to be sure that we can offer all services to our customers with a fair part of the business into private label.
Derek Lessard: Okay. And Lionel, maybe just coming back on the first part of your answer there, is there a competitive difference between the independence, and say, the larger chain QSRs from your perspective? I'm just wondering why it's a healthier margin for yourself, and I guess -- I don't know if that infers that the competition is less, or there's just more players applying to get the business from the larger chains?
Lionel Ettedgui: No. It depends where you want to compete. When you're talking about large chain business, you're talking about less SKUs regarding what they're looking for. So it's a business of efficiency -- of logistic efficiency. When you are talking about independent street restaurants, you're talking about 9,000 different SKUs they can have access to. So it's a different -- it's more about getting flexibility and to make sure that you can supply them well regarding service. So it's almost a different playbook.
Derek Lessard: Okay.
Lionel Ettedgui: So, Colabor has managed to be very efficient on the independent restaurant business, is because when you -- it's very difficult to do both of those activities through the same warehouse. It's not the same game. It's not the same business. And to be honest, it's one of the reason we we're having some difficulties in Ontario, because we were mainly chain and we tried to have the same alignment as independent restaurants, and now just by coming back to what we used to do, we think makes -- it makes a huge difference.
Derek Lessard: Okay, that's very helpful. May be one last question for me, and it's -- could you maybe just talk a little bit about the progress that you're making in Ontario, whether it's the -- or optimizing the Ontario operations whether it's on volumes to -- I think route optimization was a big one for you, and do you see reconfiguration?
Lionel Ettedgui: Yes, sure. I will say that when I joined the company, the first thing which was important to me was to really understand where we had real issues, and was it about -- as a volume we had, was it about logistics or efficiencies on operation side and so on. And then, it was to decide if I had the right team in place. So first, what we did we did, we build a team, we started initiatives regarding inventory management, regarding customer relationship, regarding some initiatives at warehouse label, like shipping label. And first step of the plan was to stabilize our relationship with our customers to make sure that the business is stabilized and we're not going to lose volume again and again, because when you're losing volume, it's quite difficult to make a turnaround for sure. So, this step is almost completed. So, we achieved what we wanted to do at this stage. Now the second part is to focus a bit more about improving our efficiency on operations to be able to bring back the activity to success. And then with solid basis, we're going just to grow the business as we we're doing that in the Quebec region.
Derek Lessard: Okay. And that's very helpful as well. Have you had any -- you said part one essentially is done in terms of the customer relationship and stabilizing volumes in Ontario, have you had any -- are you able to quantify it, or are you able to point to any you know, I guess customer feedback that's able to confirm what you're saying?
Lionel Ettedgui: Yes, what I was referring to was about -- you know, our business is food service; it's all about service. So, you need to make sure that you are providing a very good service to your customers. At this point, it's not at any cost, but what you have to understand is when you do not manage, for instance, to supply some products to restaurants, they're not going to sell them till the day they need them, and it's a pure loss. So it's very important for us to make sure that our feed rates were back to where they should be, and now we achieved this part, which is the important part. So it's more about servicing the customers, and now we're going to make sure that customers are asking for us, and it's time for us to be able to keep the same level of service and to improve our bottom line by bringing back efficiencies, by reviewing the layout on the warehouse efficient, and all the initiatives regarding efficiency.
Derek Lessard: Okay. Are you able to provide like a percentage I guess in -- a completion percentage or progress percentage of where you are in terms of the turnaround there?
Lionel Ettedgui: Honestly not at all, because I'm not satisfied at this point where we are okay, and very ambitious for the activity, and we're still working. I just build a full new team, who is here to support, and that we need a couple of weeks to be really efficient. And I'm quite sure that we -- so far it's not that bad, I'm satisfied with the flat quarter, and I think that it's time for us to bring more discipline, more rigor, more focus to be able to achieve the goals we wanted to achieve.
Derek Lessard: Okay. Well, thanks for that, gentlemen. That's all from me, and good luck.
Lionel Ettedgui: Thank you very much.
Mario Brin: Thank you, Derek.
Operator: There are no further questions at this time. I'll turn the call back over to Mr. Ettedgui.
Lionel Ettedgui: Thank you, operator, and thanks Derek for your question. As closing remarks, we have a new executive team in place as of the date. They are highly experienced, motivated, and committed industry professionals. They are fully aligned with our strategy and dedicated to improve our profitability, grow our cash flow, and reduce the debt level. This concludes our call for the third quarter of 2018. Thank you for joining us, and I look forward to our next conference call to discuss our 2018 first quarter and year-end results in February. Have a good day everyone.
Operator: This concludes today's conference call. You may now disconnect.